Operator: Good morning. Thank you for standing by. Welcome to Payoneer’s Third Quarter 2023 Earnings Conference Call. At this time, all lines have been placed on mute to prevent any background noise. Following the speakers’ remarks, we will open the lines for your questions. As a reminder, this conference call is being recorded. I would now like to turn this call over to Michelle Wang, Payoneer’s VP of Investor Relations.
Michelle Wang: Thank you, operator. With me on today’s call are Payoneer's Chief Executive Officer, John Caplan; and Payoneer's Chief Financial Officer, Bea Ordonez. Before we begin, I’d like to remind you that today’s call may contain forward-looking statements. These forward-looking statements are subject to risks and uncertainties, including those set forth in our filings with the SEC, which are available in the Investor Relations section of payoneer.com. Actual results may differ materially from any forward-looking statements we make today. These forward-looking statements speak only as of today and the company does not assume any obligation or intent to update them, except as required by law. In addition, today’s call may include non-GAAP measures. These measures should be considered in addition to and not instead of GAAP financial measures. Reconciliation to the nearest GAAP measure can be found in today’s earnings press release, which is available on our website. Additionally, please note we have posted an earnings presentation supplement alongside our earnings press release on investor.payoneer.com. With that, I’d like to turn the call over to John to begin.
John Caplan: Good morning, everybody and thank you for joining us today. Before we begin, I just want to say how deeply saddened we all are about the terrorist attacks in Israel last month and the ongoing war. The violence and loss of innocent lives has been shocking and heartbreaking. Our thoughts go out to all who are suffering. We continue to monitor the situation and our focus on supporting our colleagues in the Payoneer community in the region. We’ve donated $1 million via the Payoneer Foundation to support humanitarian relief efforts. Bea will provide a more detailed update on our business operations during her remarks and I would be remiss, if I didn’t express how deeply and immensely proud I'm of the determination and resilience our team has displayed in light of the current circumstances. Now turning to our third quarter earnings. Payoneer delivered 31% revenue growth year-over-year and a 28% adjusted EBITDA margin. We are making progress executing our strategy and are confident about the pace of our efforts. We are diversifying towards higher take rate geography, acquiring more high value ideal customer profile, or ICPs and enhancing our financial stack. As we shared at our inaugural Investor Day in September, Payoneer makes it easy for small and medium size businesses to access the global economy by providing them with the financial tools to compete and win in the markets they want to do business in. We are positioned to capture this $6 trillion opportunity and are laying the foundation for durable, profitable growth. We are focusing on our ICPs, building more products to cross-sell into our base of 2 million customers and leveraging our scale, technology and data to operate even more efficiently. Our comprehensive financial stack is a core driver of the opportunity ahead for Payoneer. We are penetrating the B2B in checkout markets, and cross-selling our card. As we highlighted at Investor Day, we remain confident about the long-term potential of our B2B business and continue to gain traction in our prioritized service oriented markets. Third quarter total B2B volume growth accelerated versus the second quarter, and increased 1% year-over-year, or 6% excluding the impact of the customer terminations we made a year ago. We delivered improving B2B volume growth trends throughout the third quarter, and most recently generated 17% year-over-year volume growth in October. By region, in our priority, service oriented market, we continue to see strong traction. APAC, SAMEA, Latin America B2B volume grew 23% year-over-year, and have an overall blended take rate of over 2%. In SAMEA, we've delivered year-over-year B2B volume growth of approximately 40% or greater each quarter of this year. We are penetrating the large programming tech support and consulting industry in the region. For example, we recently hosted a series of events in India with over 1,000 attendees to discuss the next decade of export growth and how our customers can build a brand as an entrepreneur looking to capture this full opportunity. In checkout, we grew volume by 50% quarter-over-quarter. Checkout is emerging as a part of our value proposition to increase ARPU, grow ICP and enable our customers to scale. As of the end of September, checkout was generating over $1 million in daily volume. We expect further momentum as we continue to enhance checkouts features and capabilities. For example, we launched our Shopify native capabilities for checkout, which should improve customer's payment conversion rates by providing a more seamless consumer shopping experience. We are also cross-selling our product stack to our existing customer base. Our customers are using Payoneer cards to manage their accounts payable. Card usage was nearly $1 billion in the third quarter, up 31% year-over-year. This represented 6% of total usage, and we believe there is significant room to grow that further. Let's turn now to our ICPs. Payoneer grew total active ICPs by 5% year-over-year in the third quarter. By region, we saw double-digit growth in our higher take rate regions. 13% ICP growth in APAC, 11% in SAMEA, and 10% in Latin America. We grew our largest ICPs, or those who do more than $10,000 a month on average in volume by 17% year-over-year. This segment represents approximately 10% of our overall ICPs. It contributes to over 50% of total Payoneer revenues. We continue to add new marketplace relationships to grow our ICP. I'm excited to announce that we recently partnered with Etsy to service sellers in emerging market. Our marketplace relationships are a key differentiator for Payoneer and contribute to the significant scale we've built in our banking infrastructure. The customers we acquire from marketplaces frequently expand to use our full financial stack, underscoring the significant value behind our focus on ICP. We continue to invest in our platform and product capabilities to drive greater ease, trust and convenience for all of our customers. I'd like to highlight just a few of the new features we launched recently, which we believe will drive greater retention, volume and AP usage. We expanded the ecosystem of integrations of our financial stack, and launched bank feed integrations with QuickBooks. This will reduce manual processes and improve AR collection efforts for our customers. We now enable customers to receive funds locally in New Zealand. We offer 10 local collection accounts for our customers, which helps remove the borders and complexities of doing business globally. We are integrating generative AI into our operations to improve our customers experience and increase efficiency. To accelerate our B2B growth, we are enhancing our AP tools to better meet the needs of large service customers. Our customers can now add funds from their bank to their Payoneer account. This significant enhancement positions us to drive growth in our accounts payable tool independent of a customer's AR flow. We believe this is an important value proposition for customers who have global business expenses and payroll. We also enhanced functionality around scheduling recurring payments, and sending large groups of batch payments. These are features, our largest most sophisticated customers ask for, and we're pleased that they can now make their workflows even more efficient, leveraging the Payoneer stack. I'm also happy to announce that we have begun the rollout of a Payoneer Life Account for customers who have simple AP and AR needs. For example, those who use Payoneer only for receiving funds from a marketplace and withdrawing those funds to their local bank account. By limiting their eligibility for our full stack, we can reduce our costs to serve and work towards our long-term ambition of profitably serving every entrepreneur and business seeking to tap into the global economy. This is a part of our phased approach to implementing our customer segments specific service and pricing strategy that we've spoken frequently about. In closing, we are executing against the strategic priorities that we articulated at the beginning of the year and in our recent Investor Day. We are enhancing our customers value proposition, delivering strong growth and significant profitability, while investing in strategic long-term initiatives. Our strong results are a testament to our global team and their tireless efforts and dedication to our customers and our mission. They inspire me every day. And I'm proud of what Payoneer has achieved so far this year, and excited about what's ahead. I'll now hand it over to Bea to discuss financial results and forward guidance in more detail.
Bea Ordonez: Thank you, John, and thank you to everyone for joining us. First, I want to echo John's opening remarks. We are all deeply saddened by the ongoing conflict in Israel and Gaza and by the tremendous loss of life. Our thoughts are with our colleagues in Israel and with everyone affected during this extraordinarily challenging time. I'd like now to turn the discussion to our third quarter results. All comparisons are on a year-over-year basis unless otherwise noted. We continue to execute on our strategy. We grew ICPs by 5%, generated 31% revenue growth and delivered a 28% adjusted EBITDA margin. Third quarter revenue of $208 million was up 31%, driven by interest income and on customer funds, accelerating growth in our B2B and checkout businesses, higher card usage and improved monetization from ongoing pricing and other initiatives. Q3 revenue growth also included the impact of a $7.5 million decline in revenues earned from the provision of onboarding services to enterprise clients, something we announced when we provided 2023 guidance. In line with a more customer-centric approach to monetization that we talked about at our Investor Day, we continue to implement changes to our product bundling and pricing strategies. We are expanding the rollout of initiatives we began testing earlier this year. For example, we recently introduced additional fees with small transaction sizes. We are also expanding our testing of account registration fees, as well as of potential strategies to monetize our significant cross border in network payment bonds. So far, we have not seen any unexpected or unintended changes to customer behavior or retention. We believe there is significant opportunity to drive improved acquisition and retention as well as share of wallet gains from a more nuanced approach to our pricing, bundling and service model, one that is better aligned to our diversified customer base. Volume increased 11% to $16.8 billion, reflecting strong year-over-year volume trends with our large eCommerce marketplaces, continued strength in travel spend and growth in B2B volumes. B2B volume growth of 1% accelerated throughout the third quarter with volumes in September 2023 up 5% versus the prior year period. Growth was driven by the services oriented economy that John spoke about earlier. Our volume per customer has also remained stable year-over-year. We are seeing positive momentum with new industry verticals launched earlier this year. Our Q3 take rate of 124 basis points increased 19 basis points. The expansion was driven by higher levels of interest income and the benefits of our various pricing initiatives. Customer funds held by Payoneer increased 7% to $5.4 billion, and we earned $60 million in interest income from these balances in the third quarter. Our financial stack delivers real utility to our customers. The ability to hold balances in multiple currencies, and to manage the cross border AR and AP needs from a single account. The balances our customers hold with us demonstrate the utility we deliver and the trust our customers have in. Over the past several years, we have seen robust growth in customer funds. We believe that is volumes into our platform grow and as we add more utility and features to the platform, we should see customer balances grow. We continue to expect long-term balance growth to be broadly in line with volumes, while seasonality and macro factors can influence short-term balance performance. For 2023, we expect approximately 25% of interest income earned will be used to fund investments in our platform and infrastructure, including in our compliance infrastructure. We also expect to utilize approximately 25% of revenues generated from interest income to return capital to shareholders via our stock repurchase plan, which is designed to substantially offset dilution from a stock based equity compensation program. Total operating expenses of $179 million were up 9% or $15 million. Higher sales and marketing expenses represented approximately half of the increase with higher G&A, transaction costs and other operating expenses driving the balance of the [indiscernible].Transaction costs was $30 million and increased 9%. Transaction costs represented 14.6% of revenue, a 300 basis point improvement from the prior year period. The decrease is driven by higher interest income cost savings impacting our bank and processor fees and mix shift towards lower cost markets. This was partially offset by increasing card usage and growth in our B2B and checkout businesses, all of which drive relatively high transaction costs as B2B, checkout and card volumes grow faster than our aggregate business, we would expect some upward pressure on transaction costs going forward. Sales and marketing expense increased $8 million reflecting higher commissions paid to certain enterprise partners. Excluding those partner commission, sales and marketing expense was broadly flat year-over-year, and declined modestly sequentially, a result of our previously announced workforce reductions and in line with continued efforts to streamline our go-to-market organization. G&A expenses increased $3 million primarily driven by M&A and legal expenses. Other operating expenses were up $3 million, primarily driven by an increase in third-party consulting expenses related to our ongoing spend to enhance our regulatory and compliance capabilities. These increases were actually offset by the impact earlier this year of various initiatives designed to streamline, regionalize and outsource aspects of our operations function. These assets have allowed us to reduce our labor-related operations expense by 5% year-over-year, and to meaningfully drive down our cost to serve. For example, we have reduced the average cost of a customer service ticket by 25% since the end of 2022. By optimizing workflow so we can resolve more tickets in a single interaction, by automating processes and by implementing certain generative AI based tools. R&D expense declined $3 million as a result of an increase in capitalization due to shifting of resources towards the investments in our platform, partially offset by additional hiring in our platform organization. We continue to take a disciplined approach to operating our business in order to drive greater efficiency, while ensuring we invest drive long-term and sustainable revenue growth. Adjusted EBITDA was $58 million compared to roughly $13 million in the third quarter of last year, and $56 million in the second quarter of this year. This represents a 28% adjusted EBITDA margin. Net income was $13 million compared to a net loss of $26 million in the third quarter of last year. Q3 basic earnings per share was $0.04 and diluted earnings per share was $0.03. We ended the quarter with cash and cash equivalents of $591 million, up $83 million or 16% year-over-year. Our business continues to generate positive free cash flows, and our free cash flow conversion rate is well above 100% year-to-date. We have been actively returning capital to shareholders since the inception of our share buyback program in May. We have repurchased approximately 35 million of Payoneer shares, including 15 million in the third quarter. We expect to repurchase approximately 55 million of shares for the full year. Turning to our outlook. We are reiterating our 2023 revenue guidance and raising our 2023 adjusted EBITDA guidance. For the full year, we expect revenues to be between $820 million and $830 million, transaction costs as a percentage of revenue to be approximately 14.5% and adjusted EBITDA to be between $195 million and $205 million. Before I dive into the drivers of our updated guidance, I'd like to note that our critical business operations have not been impacted by the ongoing war in Israel. And based on the current situation, we don't anticipate any material impact or disruption to our operations or business. This is a testament to the resilience of both our infrastructure and platform and to our incredible teams on the ground. We continue to prioritize the safety, health and wellbeing of our employees, while ensuring that we continue to serve our customers. Our latest guidance includes approximately $3 million in one-time expenses in the fourth quarter related to our response to the ongoing conflict in Israel, including relocation costs, financial assistance and programs to support mental and physical wellbeing. Approximately 50% of our employees are based in Israel. While a majority, approximately 81% of our research and development teams are based there. To date, less than 10% of our Israeli employees have been called into military reserve duty, and we have contingencies in place to cover impacted roles and responsibilities. A broad geographic footprint and outsourced operations model enable us to continue operating our business and serving our customers. As we have noted, we are reiterating our revenue guidance at this time. We continue to have conviction [ph] in our long-term strategy and key growth opportunities. They are generating strong growth in our checkout business, and driving increased adoption and usage of our commercial card product. We see improving trends in our B2B business, where volume growth was 17% in October, and we expect to see the ongoing benefit of our customer focus monetization strategy. We are increasing our guidance for interest income by $10 million, reflecting current consensus rate forecasts and balanced performance. We now expect interest income to be $220 million for the full year. We expect this increase in interest income to be offset by near-term headwinds from increasing macroeconomic and geopolitical uncertainty impacting our business as we begin the fourth quarter. As a result, we are reducing our revenue ex interest income guide by $10 million. [Indiscernible] software revenues from our customers in Israel, where we anticipate economic activity will be impacted in the near-term. Revenues from our customers in Israel represent approximately 3% of our total revenue. Additionally, in the immediate aftermath of the conflict, we proactively delayed the implementation of certain monetization initiatives that were scheduled for early October, but launched in early November instead. And lastly, in the broader environment, we see increasing macro uncertainty around consumer and business spending from elevated inflation and higher for longer interest in long-term borrowing rates. We expect 2020 free cash OpEx less transaction costs to be approximately $505 million. Cash OpEx represents our guidance for revenue, less adjusted EBITDA. We continue to focus on operating efficiency in order to maximize resources available for high growth areas of our business and for opportunities to deepen our competitive mode [ph]. We are on track to deliver on our commitment of ending the year with lower headcount than where we started. We expect fourth quarter operating expense to be higher than in the third quarter, primarily reflecting higher R&D spend, seasonal expenses, including seasonally higher marketing spend, as well as the impact of the previously mentioned spend related to our response to the conflict in Israel. We are raising our guidance for 2023 adjusted EBITDA to be between $195 million and $205 million. This guidance reflects a four-fold increase in adjusted EBITDA versus 2022 and a 24% adjusted EBITDA margin for 2024. In September, we hosted our first Investor Day where we have the opportunity to reintroduce Payoneer to the investor community. Since going public in 2021, we've delivered exceptional financial performance, and we plan to continue expanding our product offerings, growing in high growth and high take rate regions, and increasing the number of ICPs on our platform. Our third quarter results underscore our consistent execution against these strategic priorities and our unique value proposition for customers. We are pleased to see that our focus on operating efficiency is driving lower costs and higher adjusted EBITDA margin. We are well-positioned to capture additional market share and to generate long-term value for our shareholders. We are now happy to answer any questions you may have. Operator, please open the line.
Operator: [Operator Instructions] Our first question comes from Sanjay Sakhrani of KBW. Sanjay, please go ahead.
Sanjay Sakhrani: Thank you. Good morning and good quarter. I'm just trying to think about the acceleration that happened across the different segments that you've highlighted. Can you just walk us through what the trends were there across those different segments?
Bea Ordonez: Hi, Sanjay. Thanks for the question. Yes, looks like you noted, we've seen acceleration both sequentially versus Q2 as well as within Q3. And as we -- as we've seen, the fundamentals of the business remain in line to the strategy that we've been executing. We are seeing that we're driving ICP acquisition, we're seeing adoption of our card, and we're seeing really strong acceleration within our B2B business. John highlighted some of those stats. But as you know, we saw in Q2 that we saw some deceleration in volumes, we've reversed that trend in Q3 where we saw 1% growth. And in October, which we highlighted month-to-date, we've actually seen 17% in volume. So we're seeing nice trends and pickup in that B2B growth. And excluding China, we've been disaggregating some of those trends. We're continuing to see really strong growth in those B2B volumes. So, look, overall, the fundamentals as I say are performing pretty much in line. Ecom volumes are in line to maybe even slightly better than we thought, high single-digit to low double-digit. Travel continues to outperform. We've talked about that being lower yields business, but we're seeing really nice volume performance. B2B, we've talked about accelerating and we reached that really important milestone with our checkout business where we hit a $1 million a day in transaction volume. So we're seeing really strong trends from a volume perspective, as I said throughout the quarter, and into the fourth quarter.
Sanjay Sakhrani: Okay, great. And then to follow-up on like take rates ex float, those declined both on a year-over-year basis and a quarter-over-quarter. What were the drivers of that take rate and how should we think about that on a go-forward basis?
Bea Ordonez: Yes, absolutely. Look, top line inclusive of float we obviously grew take rate by about 19 basis points. That's interest income driven, but also acceleration as we've noted in B2B and card and checkout, partially offset by mix shift and some of that volume to those larger eCommerce buckets that come with lower yield. As we disaggregate that interest out of that, look, we talked at Investor Day about roughly 80% of our revenues being attributable to customers that are active on our platform and that generally speaking have an account on that platform. And on an apples-to-apples basis, if I look at 80%, the take rate on that business year-over-year expanded fractionally, but expanded its interest -- it's interest income, sorry, by about a basis point. The balance of that 20% revenue that we talked about at Investor Day, it includes some account fees for inactive customers. But mostly it relates to services that we provide the enterprises who use our payment rails to facilitate transfers to pay if you do not have an account on our platform. So we are not cross selling into those payees, and the yield on that business is understandably much, much lower, right. So a lot of that travel volume that we've highlighted, that has outperformed and grown very meaningfully, it's that kind of volume where those enterprises are using our payment rails. And so the disproportionate growth in that travel volume has really had sort of a negative impact in the aggregate take rate overall. But I think the main message we're driving out here is that core customer led business, our take rate is expanding that other business that is important to us, yes, but a smaller part of our overall revenue, there we're seeing sort of a disproportionate growth which is impacting the aggregate.
Sanjay Sakhrani: Okay, very helpful. Thank you.
Operator: Our next question comes from Mayank Tandon of Needham & Co. Mayank, please go ahead.
Unidentified Analyst: Thanks. Hey, guys. This is Sam on Mayank today. Thanks for taking the questions here and nice results this quarter. I wanted to start off on revenue in North America, which came in pretty soft this quarter. Can you guys just talk a bit more about what you're seeing here? And what's different than the rest of the markets that you're seeing?
Bea Ordonez: Yes, look, the main impact there is what we highlighted coming into 2023 in our full year guide that beginning in the third quarter, we had that headwind from non-volume fees. So these are fees that we earned historically from an enterprise clients with certain onboarding services. And those fees about $7.5 million in a quarter, those came out in Q3, effective Q3. So it's really disproportionately skewing that North America performance where they were booked.
Unidentified Analyst: Got it. Got it. Okay. Yes, that's helpful. Sorry about that. I missed that. And then just for a quick follow-up, I wanted to see if there was any update on the recent acquisition of Spott in any kind of new developments since you guys announced that?
Bea Ordonez: We closed it, as we said, on the last call, we're really sort of happy to be integrating that great team. As we said, when we announced the deal, they bring real sort of data expertise, that's going to help us really enhance our underwriting, enhance our risk framework, and that's going to allow us to originate more because we'll have a better handle sort of on that overall underwriting and to just better manage that book of business. But I think it's part of the broader strategy to really sort of integrate real-time data capabilities and real-time data insights into how we manage and grow the business.
Unidentified Analyst: Okay. Thanks.
Operator: Our next question comes from Trevor Williams of Jefferies. Trevor, the line is yours.
Trevor Williams: Great. Thanks a lot. Good morning. I wanted to go back to B2B for a second. If you could walk us through some of the moving pieces within the volume mix there, the chart, I think it's on Slide 18. That's helpful. And you guys have hit on some of this in both your prepared remarks. But if you can unpack some of those diverging growth rates you're seeing across the two buckets of geographies that you've laid out, and how that ultimately feeds into the medium term volume growth expectations and kind of take rate trajectory potential for B2B. Thanks.
Bea Ordonez: Well, thank you, Trevor. Yes, look, as we've highlighted, I think, look, we're very pleased with the overall acceleration in this business, which is something we've been talking about heading into the back half of the year. We're seeing that acceleration from really strong acquisition metric from as John noted, stable spend per customer in those service oriented economies and from the impact of the lacking of determination [ph] that we talked about in Q3 of 2022. Overall to sort of level set in the aggregate and Q2 we saw a contraction in volume. In this quarter, we saw 1% volume growth, 6% ex termination and accelerated that volume growth throughout the quarter. And so really strong performance in October again, up 17%. To your point, Trevor, we're seeing sort of -- if we look at the disaggregation by market, we see very different trajectories. And we've talked about that volume is sort of ex China. And China now makes up in the third quarter less than 20% of the total volume. It's about 17%. But what's been really strong, we've been deemphasizing there, and we've talked about that throughout the call. We do view it as a long-term opportunity from a B2B perspective. But from an acquisition perspective in the current year, we've been deemphasizing our efforts and really focusing our efforts on that -- those service oriented economies that John talked about. And now we're seeing really strong growth. They make up now close to half of our total B2B volume. And we grew that volume in the quarter by about 23%. And again, as we've highlighted in the past, compared to that China book of business, the take rate dynamics are really favorable. So a blended take rate in those markets, LatAm, APAC, SAMEA higher than 2% versus in the China book of business in or around 50 basis points. So to your question, as we accelerate growth in those other regions, we're going to see positive take rate dynamics and tailwinds to revenue. China, as I say, long-term it's going to be a good opportunity. Short-term, not a not a significant driver. And in '24, certainly, it's not going to be a drag to growth in terms of that B2B revenue. So we remain super focused on that service oriented. Economy is driving ICP acquisition, really good and demonstrated product markets there and great take rate dynamics. So we're excited to be able to continue to grow this book of business. And as we said at Investor Day, we feel good that we can grow this volume next year by 25% or more.
Trevor Williams: That's great. Thanks. And then any more detail you can give on how volume growth has trend -- how it trended throughout Q3, and then what you're seeing in October month to date? I'm just trying to square, I mean, it sounds like a B2B you're seeing nice acceleration, Q4 versus Q3, but you're taking down kind of the implied Q4 ex interest income revenue. So I'm curious if you're seeing any pockets of sequential weakness in volumes, so it's quarter-to-date that's kind of driving the more cautious outlook for the fourth quarter. Thanks so much.
Bea Ordonez: No, look at -- as you've noted, we're seeing accelerating trends. We saw that throughout the third quarter and into October. So again, third quarter volumes were up 11%. That's accelerating sequentially from the 8% volume growth we saw in Q2. We've highlighted those B2B numbers in October. In the aggregate volumes in October were up about 20%. So we're seeing nice growth again. The main drivers have continued to be a really strong performance from the travel sector as well as large ecom performance. To sort of the Q4 kind of softness that we're talking about, we're really talking about exogenous factors that we highlighted in our prepared remarks. So what's factoring in some softness from revenues from customers, in Israel, it's not a big part of our revenue pie. But in the near-term, we do expect some softness from those revenues in Q4. We factored in sort of the delays. And again, we did this very proactively in the immediate aftermath of the crisis in Israel, we paused all code releases, while we frankly got a majeure of the situation. And that pushed some of that monetization further out into the future. So we factored that in. And look, we factored in, in common with many of our peers, just a little more macro softness. And perhaps we have in our outlook as we head into Q4, as we continue to see pressures sort of emerging in the broader economy and in the geopolitical landscape around consumer and business spending.
Trevor Williams: Okay. That's helpful. Thank you guys.
Operator: Our next question comes from Cris Kennedy of William Blair. Cris, please go ahead.
Cristopher Kennedy: Great. Thanks for taking the questions. Just going back to the Investor Day, you talked about -- I believe you talked about targeting mid-teens revenue growth for 2024. Can you just talk about the expectation for that given some of the macro uncertainties?
Bea Ordonez: Yes, sure. Look, we obviously gave [indiscernible] '24 guidance in February, which would be consistent with prior years. But as you notice, we set our Investor Day in September, medium term targets for revenue growth in the mid-teens and medium term targets for adjusted EBITDA margin at around 255%. Look at our latest guidance, we have great conviction that our strategy is working and that we're executing on it. And our '23 guidance calls for a significant acceleration, which is in line with what we've seen through the third quarter and into October. We would exit Q4 based on that implied guidance at roughly 19% of organic, I will say, X interest income revenue growth, when you take it apples-to-apples, right. So excluding those non-volume fees, excluding Russia and it's worth noting, look, we lacked the impact of our exit from Russia at the end of this year. We will fully lap those non-volume fees, again, $7.5 million per quarter at the end of the first half of '24. So with all of that in mind, that acceleration through Q3 and into Q4, the lapping of those significant headwinds that we've highlighted, accelerating volumes in our B2B and our checkout business, we're very confident over the medium term that we're going to hit those revenue growth targets.
Cristopher Kennedy: Great. Thank you. And then on the prepared remarks, John talked about the Payoneer of Light Account. Is there any way you can frame the potential yield associated with that product? Thanks for taking the questions.
John Caplan: Sure. The -- when Payoneer Light is in its earliest stage of rollout and I'm thrilled with the work. Our go-to-market teams, our product teams, our R&D teams, our business analytics teams are put in place. We haven't yet sized that broadly for folks because it is a -- it's in its earliest stages. But you could expect that higher take rate product before in higher take rate geographies for smallest or smallest customers and it has the benefit of higher take rate customers in higher take rate geographies and reducing our cost to serve. It would be highlighted the 25% reduction in our cost per ticket that we've seen year-to-date. We are very focused on our formula around ICP growth, driving our cross-sell into increased ARPU and reducing our cost to serve. Every entrepreneur on the planet that is doing business cross border of which we have 2 million customers today, we want them to use and love and enjoy the Payoneer account. And paying your light is a step towards a product portfolio that enables us to efficiently capture those. As Bea and I've talked about in the past, we get 6 million applications a year of people who want to use Payoneer and we are organizing ourselves to make it such that we can serve them profitably. And we're on the path to do so.
Cristopher Kennedy: Right. Thanks for taking the questions.
Operator: Our next question comes from Mike Grondahl of Northland Securities. Mike, please go ahead.
Mike Grondahl: Hey, guys. Thanks. I wanted to ask about the pricing increases and initiatives that you've been doing. Does the third quarter represent sort of a full quarter of those price increases? And is there any way you can kind of break that out and see what that contributed to revenue? And do you expect further benefit in future quarters? 
Bea Ordonez: Thanks for the question, Mike. Look, we're not really sort of viewing it as sizing of particular in quarter impact or not, certainly the third quarter has impacted the fourth quarter too. But as John was sort of getting at, we view our pricing strategy and our progress towards that as really a multi phase rollout of just a much more customer-centric and segmented approach, right. And it has a number of prongs. One, it's around sort of bundling products that better serve needs, which has sort of -- the benefits of driving kind of shared wallet gains and adoption, while also potentially reducing our cost to serve because we're not offering customers products they don't need that potentially have higher kind of costs associated with them. It's around kind of driving adoption of some of those higher value products that we've talked about by bundling and taking a more nuanced approach to pricing. So overall, we view this as a multi phase rollout, frankly, over many quarters. We've seen tremendous success. I think already we launched as we talked about in Q2. Account fees that we waive at certain volume levels and they've been very successful in monetizing some of those smaller or long tail customers. And as we said, we really haven't seen meaningful churn there. We've launched in Q3, as John noted in his prepared remarks, fees for small transactions, which have also been very effective. We're looking at our FX pricing. As an example we talked a little bit about that customer specific light account offering. So it's part as I say, that kind of multi step approach. And we're going to continue to kind of roll out and test sort of different pricing models and bundling models to ensure that what we're doing makes sense for the business that we don't see any unintended frictional, or impact to customer behavior. So that includes registration fees, which we've been testing, that includes fees [indiscernible] that in network volumes that we see in our platform. We talked at Investor Day about the almost $10 billion of intranet workflow that we see coming through our platform. And that close to half of that is cross border today. We don't monetize that. So we're looking at all sorts of aspects, and really ensuring that we do that with the customer segment and their needs in mind.
Mike Grondahl: Okay. That's helpful. Thank you.
Operator: Our final question comes from Josh Siegler of Cantor Fitzgerald. Josh, the line is yours.
Josh Siegler: Yes. Hi, guys. Good morning. Thanks for taking my questions today. First and foremost, with the increased free cash flow flowing into the business, I was wondering if there's any updates to how you're thinking about capital allocation moving forward?
Bea Ordonez: Sure. Look, I mean, we see a tremendous opportunity in front of us, as we outlined at Investor Day, to capture and grow in a very significant market opportunity that serves SMBs in the markets in which we operate. So first and foremost, we're going to continue to invest in that opportunity and our go-to-market apparatus, in our platform to position us to best capture that organic opportunity. We talked about M&A, and that's certainly part of the long-term trajectory. We think given our distribution, given our unique assets, given our brand and our positioning in these local markets, that there are more services and more products that we can integrate into our financial stack to drive off to drive revenue overall. And then, of course, look, we've allocated 25% this year of our overall interest income to close to $55 million or $60 million to returning capital to investors. That's our target for this year. And I think it's fair to say that over the long-term, we would look to add a minimum offset dilution from our stock based comp plan by using that share buyback plan. But overall, look, we're really excited. This is a strong cash flow generating business. We see tremendous opportunity, both to grow organically, drive more leverage, drive more efficiency and capture more opportunity while being balanced and returning capital to investors as well.
Josh Siegler: Great. That's very helpful. And then Bea, I think you mentioned that eCommerce volumes performed better than expectations. I was wondering if that tailwind might continue into 4Q, especially given this collaboration with Etsy going live?
Bea Ordonez: So just -- specific to Etsy, we're very excited to have that deal sort of signed. And we're looking to onboarding this. There's no material volume of revenue anticipated from it. It takes a while to ramp up these relationships at '23. That's a '24 event. From an overall ecom perspective, look, we came into this year thinking high single digits was a good number. We've seen ecom, I think you would agree as well outperformed that sort of overall. And I think so far October is in line with that and we're seeing outperformance in that ecom bucket. So at this point, I don't see any reason to expect that that wouldn't continue. We are though seeing that mix shift into those larger sellers. Something that I think Amazon kind of talked about in some of their remarks or Q&A around consumers becoming more price conscious and moving their buying preferences to those larger sellers. So we are seeing that mix shift as well. So the [indiscernible] is a revenue isn't as strong as the volume performance overall. But we're excited to see that volume come into the platform.
Josh Siegler: Great. That's very helpful. Thanks again, and congratulations on the execution this quarter.
Operator: With that, I'll hand back to John Caplan, Chief Executive Officer for closing remarks.
John Caplan: Thank you, everybody for your questions and for joining us this morning. I'm confident about Payoneer's opportunity, and we appreciate our shareholders continued support. We look forward to speaking with all of you again next quarter. And with that, thank you.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.